Operator: Ladies and gentlemen, greetings. And welcome to the TriMas Corporation First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Sherry Lauderback, TriMas investor relations. Please go ahead. Thank you, and welcome to TriMas Corporation's first quarter 2025 earnings call. Participating on the call today are Thomas Amato, TriMas' President and CEO, and Teresa Finley, our Chief Financial Officer.
Sherry Lauderback: We will provide our prepared remarks on our first quarter results and full-year outlook, and then we will open the call up for questions. In order to assist with the review of our results, we have included today's press release and presentation on our company website at trimouth.com under the Investors section. In addition, a replay of this call will be available later today by calling 877-660-6853 with a meeting ID of 13753075. Before we get started, I would like to remind everyone that our comments today may contain forward-looking statements that are inherently subject to a number of risks and uncertainties. Please refer to our most recent Form 10-K and 10-Q to be filed later today for a list of factors that could cause our results to differ from those anticipated in any forward-looking statements. Also, we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website where considerably more information may be found. In addition, we would like to refer you to the appendix in our press release or presentation for the reconciliations between GAAP and non-GAAP financial measures used during this call. Today, the discussion on the call regarding our financial results will be on an adjusted basis excluding the impact of special items. With that, I will turn the call over to Tom Amato. Tom?
Thomas Amato: Thank you, Sherry. Good morning, and welcome to TriMas' first quarter earnings call. Let's begin on Slide three. We are pleased to announce that we are off to a great start to the year and have delivered strong results for the first quarter. Reflecting on our two largest segments, Packaging and Aerospace, which together represent nearly 90% of TriMas' revenues, we have experienced organic growth of 3.3% and 27.8% respectively. Our aerospace business achieved another record sales quarter and continued momentum in driving conversion to just over 22% EBITDA with LTM EBITDA now at 20%. This is commendable performance by the aerospace team and represents our steadfast commitment to continuous improvement underpinned by a robust aerospace and defense market. Within our Packaging Group, sales grew at an anticipated level when adjusted for currency. And our conversion rate was just slightly below the prior year quarter as we chose to secure certain materials ahead of changing tariff rates. Taking this proactive step resulted in incremental costs in the quarter, which otherwise would have resulted in an increased overall conversion rate as compared to the prior period. Importantly, as we begin Q2, while we navigate the global packaging market, we are continuing to see good demand for our dispensing product line. We will continue to closely monitor this trend given emerging tariff-related dynamics. When considering the performance of our two largest segments, it is important to recognize TriMas' positive shift to a higher quality of segment level earnings mix which we believe underscores the value potential of TriMas. With respect to our Specialty Products segment, after we normalized for the sale of AeroEngine, this segment now represents approximately 10% of TriMas' annual sales. In the first quarter of 2025, and similar to what we experienced at the end of 2024, we continue to believe that North Cylinder is at the bottom of the destocking demand trough. Encouragingly, we are now beginning to see the rate of cylinder order intake steadily increase for the first time in many months. We believe this is providing the long-awaited green shoots which we expect to build upon throughout the year as we have already taken significant cost restructuring actions to facilitate improved performance at a lower annualized sales base. I'll provide a more detailed overview of our segment results later on in the call. Again, despite navigating recent challenges in some of our end markets due to geopolitical actions, we are very pleased to report a strong start to 2025. At this point, I will turn the call over to Teresa Finley, TriMas' interim Chief Financial Officer and Board Member, to discuss TriMas' consolidated results. Teresa?
Teresa Finley: Thank you, Tom. First, I'd like to give a shout-out to the TriMas team who have supported me during this transition and especially those of you in the Detroit offices here who have spent some extra hours helping me deepen my knowledge of our businesses. We indeed have a talented team here at TriNet. It's a pleasure to participate in my first earnings call with such encouraging results. On that note, let's turn on to slide four. We have delivered solid results this quarter with consolidated net sales increased $6 million, $7 million excluding the impact of currency, and this acquisition and dispositions, organic revenue growth was more than 8%. Acquisition-related sales growth in the quarter was $3.3 million related to the February 2025 acquisition of GMT Aerospace nearly making up for the loss of $3.6 million in sales related to the divestiture of AeroEngine completed in January. Sales growth was also partially offset by $3.8 million related currency. Consolidated operating profit increased by more than 50% compared to Q1 2024, or $8.2 million reflecting the strong revenue growth and expanded operating margin of 290 basis points driven primarily by our aerospace business. This resulted in a meaningful increase in adjusted EBITDA which was up 13.5% to $39.7 million and a margin improvement of 100 basis points to 16.4%. Our adjusted earnings per share rose to 46 cents representing a 24.3% growth year over year. Turning to the balance sheet. At our capital position, which is on slide five. We continue to manage a strong and flexible balance sheet supported by low interest, long-term debt with no maturities due until 2029. During the quarter, we successfully refinanced our senior secured revolving credit facility extending its maturity to 2030. Net debt increased from the prior quarter due to our strategic acquisition of GMT Aerospace increasing our net leverage to 2.7 times. Lastly, first quarter free cash flow improved by $14.8 million compared to Q1 of 2024, thanks to both strong operational performance and disciplined working capital management. Overall, we believe our capital structure is well positioned to support both near-term operations and future strategic investments. I'll now turn the call back to Tom to provide further details on Segment's performance and our outlook.
Thomas Amato: Thank you, Teresa. Let's turn to slide six, and I'll cover our segment results for the quarter. As noted previously, Packaging's organic growth was 3.3% after adjusting for negative currency effect. As we discussed in the prior earnings call, we anticipated a more modulated rate of growth in 2025 as compared to 2024 given the snapback in demand that occurred from the very low rate of demand in 2023. Within our Packaging Group's main product lines, we further experienced solid organic growth within our dispensing products many of which are used in a variety of consumer goods markets. This is an important continuing trend as our packaging group has many innovative dispensing design and functionality solutions for our customers. Additionally, we are beginning to see our life sciences product line sales increase as compared to the prior year period as the med tech end market generally worked through inventory destocking in 2024. Our quilter product line was negatively impacted by lower demand in the quarter, which we believe was driven by elevated customer inventory levels entering 2025, most of which was impacted by inflationary supply issues related to the food and beverage end market generally. Operating profit conversion rates for the quarter were slightly lower by 20 basis points than the prior year quarter. However, the most significant impact to the quarter resulted from incurring incremental costs related to a proactive decision, to secure certain materials ahead of changing tariff rates. This strategically defensive step resulted in approximately 100 basis points of extraordinary freight expense which if normalized for this effect would have resulted in improved margin compared to the prior year quarter. As we continue to look forward in 2025, the most significant matter we are navigating like most packaging companies, relates to a potentially changing economic environment related to tariffs. In the near term, we are working with suppliers and customers to best reduce exposure from this geopolitical effect. In the longer term and if necessary, we are well positioned to relocate production throughout various parts of the world given our global footprint. As mentioned on this previous earnings call, we have launched a new and larger facility in Vietnam relocating from a smaller facility within the country. We expect this upgraded facility will serve as an important manufacturing hub to service Asia and other parts of the world. With respect to imported goods from China, I would note that given our strategy over the past three years, to regionalize production, we now only import about 5% of our total packaging sales from China. If the tariff rates implemented against China by the United States remain at the rate in effect currently, we believe we can dampen the near term the near term direct impact with actions already underway and if necessary, accelerate our rate of relocating and in sourcing other packaging products over the longer term. So overall, we remain encouraged by the progress made within our packaging group this quarter as well as the longer-term outlook. At the same time, we are also working diligently to mitigate pending challenges created by geopolitical decisions. If we turn to Slide seven, I'll review our Aerospace segment. As noted, our Aerospace Group had a record sales quarter of nearly $90 million of revenue. This was driven by continued increasing demand in the aerospace and defense market, improved throughput against a strong order book commercial actions and acquisition-related sales. Also, our operating profit conversion rate was up significantly by 650 basis points as compared to the prior year quarter and with EBITDA margin rates now at pre-pandemic levels. This result was largely driven by our aerospace team's efforts over several quarters ranging from extensive factory floor and operational excellence improvements to fact-based, data-driven, purchasing and commercial actions. While we are pleased with the performance to start the year, we also remain excited about the long-term growth outlook given our backlog and continued commercial gains some of which will benefit our growth trajectory in 2026 and beyond. We also successfully closed on the purchase of GMC Aerospace, which we have renamed TAG for TriMas Aerospace Germany, are currently working on the integration of that acquisition. For the month and a half of ownership, TAD contributed about $3 million in sales to the Aerospace Group. On behalf of the entire TriMas management team, we welcome the team at TAG to the TriMas Aerospace family of businesses. If we now turn to Slide eight, I'll cover specialty products. Specialty product sales were lower as compared to the prior year quarter by $7.9 million of which approximately $3.6 million related to sales loss due to the divestiture of AeroEngine. The balance just over $4 million related to lower demand for cylinders in Q1 2025 as compared to Q1 2024. While those are the results, it's not the full story this quarter for North Cylinder. First, are starting to see positive change in the rate of order intake which we are monitoring closely and certainly hope it continues. Additionally, we have already restructured our cost base and anticipate that we can achieve a more normalized conversion rate on a lower sales base. Finally, in Q1 2025, we sold through inventory at a higher cost base as compared to Q1 2024 levels. A quarter when manufacturing costs fully adjusted and aligned with lower demand. That is not the case today. As our production costs are in much better balance with current market demand. In light of this dynamic, as anticipated for the first half of 2025, we are in a period where we still need to work through absorbed manufacturing overhead from the prior year period. Knowing that and given the factory floor actions we have already implemented, we are confident that operating profit conversion will begin to normalize as we move into the second half. And would anticipate seeing an operating profit back in the low double-digit range by the end of the year. Importantly, as North begins to progress in its recovery, it is poised to make meaningful contribution to TriMas' overall performance levels. Let's now turn to Slide nine. As highlighted in our press release this morning, we are reaffirming our outlook for 2025. While our primary near-term challenge relates to the current trade strategy from the US government, which continues to be a fluid situation. We do not yet have enough information to be able to predict the annual impact. We also remain cautiously optimistic as trade deals are announced with some countries, that result may provide inertia for other countries to begin to settle with the US. In a position to I would like to once again state that TriMas is comprised of great businesses with well-recognized brand names in the markets they serve. While each business is at a different phase in their respective cycle, all are well positioned to deliver an outstanding future. Thanks, Tom. At this point, we would like to open up the call to questions from our analysts.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. And one on your telephone keypad. You may press star and two if you'd like to remove your question from the queue. Ladies and gentlemen, we will wait for a moment from KeyBanc Capital Markets. Please go ahead.
Ken Newman: Hey. Thanks. Morning, guys. Morning, Ken. Congrats on the solid quarter there. Just for clarity, Simon, I know you maintained your full-year sales and earnings guidance. But just to be clear, is there any change to the segment guidance that you provided last quarter as well?
Thomas Amato: At this point, no, Ken. We just are this there's so much uncertainty right now that we're not adjusting that at this point. Okay. That's helpful. So trying to keep that and I understand that this is a fluid environment. A lot of change here, but I'm trying to make sure that we're not missing anything I I know you talked about the 100 basis point of impact from higher freight expense and and packaging. Are there how are you thinking about other investments or potential headwinds relative to packaging or any of the other other segments as you try to position yourself to be a little bit more nimble through this environment.
Thomas Amato: Well, I think so first of all, when I think of our ability to adjust to the the issues that may arrive from tariffs. In the near term, outside of the expense that we incurred in Q1, I don't see much more of these abnormal type of expenses. A lot of what we're doing is on the procurement and commercial front to mitigate exposure in the near term. If this becomes a prolonged situation with certain parts of the world, then we'll have to make some decisions on where we manufacture. You know, that would have some certainly, some cost impact. But I would expect that that, you know, we're probably a couple at least two to four months away for making those decisions. Okay. And if you were to make those decisions, what's the time frame in order to kind of realize some of this movement in production? Yeah. That's that's that's a great question. And it does depend a bit. But for us, with if we're moving operations predominantly in the packaging area where we have assembly, It could take a year, a little bit over a year before we can relocate production from one part of the world to another. If it's something that is is more focused on molding only, we can move that quicker. But I would say typically about a year Got it. Okay.
Scott Mell: If I can just squeeze one more in here, and then I'll jump back into the queue. You know, look at the aerospace organic growth this quarter was pretty was very solid. Right? I think almost 28% organic. You know, if you're if you're keeping the aerospace organic growth guide of low double digits for the year, It does imply a pretty sizable step down here from one Q levels. Can you talk us through the order intake there How to think about the cadence of growth there? And then also, how do I think about, you know, the operating leverage as we move through the year is is 17% segment operating margins the right run rate to look at this business going forward?
Thomas Amato: Yeah. I I I I understand. I understand the point. No. We are coming off we're gonna start coming off the different quarterly base as we move through the year. You know, I do expect some modest operating leverage gains as we move through the year as well within aerospace. But at this point, Ken, we're just you know, we just wanna be conservative overall there's just so much uncertainty out there, but I understand the point.
Scott Mell: Okay. Thanks.
Operator: Thank you. The next question comes from the line of Hamed Khorsand. From PWS Financial. Please go ahead.
Hamed Khorsand: Hi. Good morning. Just following up here. Keep the conversation on aerospace. You you acquired a a GMT so you have more, you know, exposure to Europe. And then the US, you know, it's very well advertised now in in media about your competitor having the fire and quarter. So how is that going to play out as far as your capacity is concerned, pricing, And, you know, you're you're talking being conservative, but you know, your customers are basically saying that there's just no supply. So can you just you know, reconcile the commentary that's out there?
Thomas Amato: Yeah. Well, look. I mean, first of all, the dynamics you put forward are are spot on. And that does set a basis for a better outlook for us with respect to the aerospace business. We're very excited about the opportunity We've been delivering on a quarter over quarter basis now for the past several quarters. And, you know, we expect to continue to drive that. With respect to you know, adding the acquisition of GMT Aerospace, that that improves our our positioning with Airbus. And we're pretty excited about that. I think we talked about that a little bit on the last call. And with respect to the unfortunate event at one of our competitors manufacturing facilities, and clearly, we we don't like to see that at all. Anywhere. some opportunities for know, where we have overlap. We don't have a fantastic amount of overlap with what that particular plant manufacture, but there's certain product areas where we do. And if we can help out our customers in any way, shape, or form, for continuity of supply, trust me, we are all over that. Okay. So can you just reconcile, like, why are you being conservative, though, if given the dynamics that we're seeing? And then adding to that, you know, in Europe, you're seeing increased spending in in defense right now.
Thomas Amato: Yeah. Look. Look. I I I under I as I mentioned to Ken, I am we understand the point. We just put our guidance out a few months ago, and we're in a period where it's a little bit uncertain. So I'd we'd like to get through the second quarter. And take a look at our segment forecasting And if we feel comfortable, we'll make some adjustments there. But but overall, right now, we're we're we feel we're off to a great start. If it wasn't for if it wasn't for a a the uncertainty in tariffs, we'd probably be guiding on an overall annual basis to the higher end of our range or or beyond. Got it. Okay. And then on the packaging side, are you done with the the CapEx investment going to look as far as, you know, the end market sales go and the order intake you're seeing now.
Thomas Amato: Well, I I I'm not sure we're ever done with CapEx investments because we continue to invest on our, you know, in in capacity, and adding to our factory floor for to drive organic growth. I do think that the capex rate for packaging will be more, moderate than it was in prior years. And we're pretty keen on you know, trying to sell products where we do have available capacity. That being said, there still is a demand for certain product lines where it behooves us to invest in capacity and make capital investments. But I I I think the rate of spending will be lower in 2025 and beyond than it was over the past two or three years. Okay. And then lastly, could you just talk about what what drove these gains for you in beauty and personal care? Was it new product introductions? Was it taking share? Any anything any color would be great.
Thomas Amato: So so it's it's a little bit of both. We we are in certain parts of the world. We believe we are capturing some share particularly in Latin America. And then we do have a product line, which is a it's not a large dose pump. It's a larger dose pump. I'm it's four cc. And that that market which the application is is predominantly lotions. That end market is very strong right now. And remember, in 2023, it was extremely weak. And we're seeing a lot of continued demand there. We believe our our dispensing pump is has some advantages over competitors, and and we're selling that pump to some pretty fantastic CPG customers, and, it's growing nicely around the world. Great. Thank you. Thank you.
Operator: The next question comes from the line of Ken Newman from KeyBanc Capital Markets. Please go ahead. Hey. Thanks for the the follow-up here. Just one quick one. Is Tom, can you just talk a little bit about, you know, the sense that you're getting from where inventories are at your customers' distributor channels? We're getting a lot of questions, not just across all of our names that we cover, whether or not are showing any kind of prebuying activity to get ahead of tariffs and curious if you're seeing anything that would suggest that type of behavior.
Thomas Amato: And and and what are you just talking generally across all product lines? Correct. Yeah. And and any color across the product lines would be great. Yeah. I I think there there may have been there may have we're starting to see a little bit bit of that, I think, with respect to North Cylinder, believe it or not. North would be a a positive recipient to tariffs given that the competitors are predominantly overseas. Or offshore. Within aerospace, I would say not really that the the strong demand that we have for our products there is a a function mostly of the of the strength in the aerospace and defense market right now. And within packaging, I guess there might be pockets or two with some customers and some parts of the world that, you know, would take advantage of some buying opportunities. But we're there's some parts of some product lines that we have that were down compared to the prior year quarter. So they came into the year particularly enclosures, for example. They came into the year where they were overstocked. So I wouldn't say there's anything too abnormal. That we experienced in the in the first quarter on that front. Okay. That's that's helpful. Then maybe one last one for me. As it relates to the the full year sales guide, and, again, I I understand everything is kinda fluid here, but from a pricing perspective, it doesn't sound like you pushed a lot of price to offset any kind of tariff impacts during the first quarter, but how are you thinking about organic pricing relative to volumes within that four to six percent range?
Thomas Amato: Yeah. Good. That's that's a a good a good question. And certainly, if tariffs hold much longer in Q2, you we might see some impact to that in our year-end guide in the sales front. We'll know more at the end of Q2. That's all I can say. Understood. Thanks.
Operator: Okay. Thank you very much. Any more questions? Ladies and gentlemen, as there are no further questions, I would now hand the conference over to the management for their closing comments.
Thomas Amato: Okay. Thank you very much for joining us on our earnings call. We look forward to updating you again next quarter. Have a great day.
Operator: Thank you. Ladies and gentlemen, the conference of TriMas Corporation has now concluded. Thank you for your participation. You may now disconnect your lines.